Operator: Good morning, ladies and gentlemen. Welcome to RBC’s Conference Call for the First Quarter of 2015. [Operator Instructions] I would now like to turn the meeting over to Ms. Amy Cairncross, VP and Head of Investor Relations. Please go ahead.
Amy Cairncross: Good morning and thank you for joining us. Presenting to you this morning are Dave McKay, President and Chief Executive Officer; Janice Fukakusa, Chief Administrative Officer and CFO; and Mark Hughes, Chief Risk Officer. Following their comments, we will open the call for questions from analysts. The call is 1 hour long and will end at 9:00 a.m. To give everyone a chance to participate, please keep it to one question and then re-queue. We will be posting management's remarks on our website shortly after the call. Joining us for your questions are George Lewis, Group Head, Wealth Management and Insurance; Doug McGregor, Group Head, Capital Markets and Investor & Treasury Services; Jennifer Tory, Group Head, Personal And Commercial Banking; Zabeen Hiirji, Chief Human Resources Officer; and Bruce Ross, Group Head, Technology and Operations. As noted on Slide 2, our comments may contain forward-looking statements, which involve applying assumptions and have inherent risks and uncertainties. Actual results could differ materially from these statements. I will now turn the call over to Dave McKay.
Dave McKay: Thank you, Amy, and good morning everyone. And thank you for joining us today. RBC had a record first quarter with earnings of over $2.4 billion, up 17% from last year up 12% excluding items in the prior year related to our Caribbean operations. Our results were driven by record earnings in Personal & Commercial Banking and a very strong quarter in Capital Markets. Our performance also reflects record earnings in Investor & Treasury Services, continued strength in Insurance and solid underlying earnings in Wealth Management. Our capital position remains strong and I’m pleased to report that this morning we announced a $0.02 or 3% increase toward dividend, bringing our quarterly dividend to $0.77 a share. Overall RBC had a great start to the year and I would like to highlight the key strengths of our quarter. First, it’s our record earnings in Canadian Banking. We have the number one or number two market position in all retailing business product categories and we continue to gain market share across all of our core businesses, while maintaining strong margins. We continue to innovate and enrich our customer value proposition and we’ve executed strategic marketing programs which helped drive solid volume growth of 5% over last year. This growth includes continued momentum in deposits, reflecting our focus on growing core checking accounts, a key anchor product for us. As I’ve explained before, clients typically start their relationship with us through checking account and we can typically sell an additional two or three products within the following three months. We also had strong fee-based revenue, which was up 13% from last year, largely reflecting the power of our branch network to distribute mutual funds to our clients. And we achieved double-digit growth every quarter for more than two years. The second key highlight is Caribbean Banking, which was profitable this quarter following two years of restructuring, during which we repositioned the business and took out significant costs. While there are ongoing economic headwinds, we believe our Caribbean business can continue to deliver strong performance. The third highlight is the strength of our global businesses. Capital markets generated particularly strong trading results, especially in the US, as client activity increased on improved market conditions and increased volatility. We also had higher M&A activity and solid growth in our US and European investment banking and lending activities. Investor & Treasury Services also had an outstanding quarter, driven by high levels of client activity in the foreign exchange markets and higher custodial fees. In addition, global asset management performed well with strong growth in client assets and we continue to extend our reach to institutional investors in the US and select global markets through several new mandate wins this quarter. While we’re pleased with our first quarter results, recent changes in the macro environment have created some headwinds and let me provide you with some insight into how we are navigating through the environment ahead. The price of oil declined 40% in Q1, while we’ve seen some stabilization recovery over the past weeks, the price of oil remains at levels that challenge the profitability of the sector. To date, we haven’t seen any significant weakness in our oil and gas credit portfolio or in the retail portfolios. Within this environment, we’re conducting extensive stress testing to help us understand the potential impacts of persistently low oil prices on our business and we are actively monitoring on an ongoing basis which provides us significant visibility into early warning signals. I would highlight the potential for some positive effects from lower oil and gas prices. For example, lower energy prices are expected to lead to increased consumer spending which help support GDP growth. Additionally, a weaker Canadian dollar and an improving US economy benefit our manufacturing sector. For example, in Ontario, exports in Q4 were up 17% year over year and on a national level we saw wholesale volumes rise nearly 9% from a year ago in December, the strongest annual rate of growth since April 2010. The impact of a lower oil price was also contributed to the depreciation of the Canadian dollar relative to the US dollar, we expect our dollar to remain under pressure as the US economy is projected to outperform the Canadian economy. This quarter, benefited from translating our strong US earnings into Canadian dollars, as Janice will touch on in a moment, there was a negative impact on our capital ratios from foreign exchange, however, we hedge our balance sheet outside of Canada to offset much of this impact. As you saw at the end of January, the Bank of Canada unexpectedly cut the overnight rate, partly in response for the macro headwinds I’ve just discussed and it’s possible we may see another rate cut as early as March. We’ve demonstrated very strong margin performance in Canadian Banking, so another rate cut would add incremental margin pressure. Within a low rate environment, we will perhaps be even more diligent about managing costs and driving efficiencies. From the significant investments we’ve made in recent years, we believe there is more we can do particularly to the use of technology and digitization. Notwithstanding these headwinds, I’m confident that RBC’s diversified and agile business model positions us well to continue to capitalize on opportunities created by the changing market environment. I believe RBC’s geographic diversification is a key strength. As we demonstrated this quarter, our global businesses and capital markets, ITS and global asset management has strong momentum and complement our Canadian franchise. In fact, in Q1, we generated approximately 34% of revenue and 26% of earnings from our US and international businesses and City National will only increase our diversification. We have a strong track record of driving efficiencies, while also investing in our business for the long term. We also have a strong capital position which gives us the flexibility to deploy capital to grow our business and return capital to shareholders as we did with today’s announcement of 3% dividend increase. And our strong capital position enabled the recently announced City National acquisition which we believe will create a powerful platform for long-term growth in the US. I will now turn it over to Janice to provide more details on our first quarter results.
Janice Fukakusa: Thanks, Dave, and good morning everyone. As Dave mentioned, we had a record quarter with earnings of over $2.4 billion, up $364 million or 17% from last year or up $272 million or 12% excluding last year’s loss on the sale of RBC Jamaica and other charges in the Caribbean. Sequentially, earnings were up $123 million or 5%. We delivered a strong return on equity of 19.3%, driven by record earnings in personal and commercial banking and investor and treasury services, strong performance in capital markets and solid underlying results in wealth management and insurance. As Dave noted, a significant portion of our revenue is generated outside of Canada. Given that the Canadian dollar declined 7% on average relative to the US dollar just this quarter, our earnings benefited from foreign exchange translation of $34 million compared to last quarter and this was predominantly in capital markets. I would also point out that approximately half of our balance sheet is denominated in US dollars, so the weaker Canadian dollar had a significant impact. In fact, approximately half of the growth in our balance sheet this quarter was related to FX. Turning to capital on slide eight, our common equity tier 1 ratio was 9.6%, down 30 basis points from the prior quarter as strong internal capital generation was more than offset by higher risk weighted assets, reflecting FX and business growth mainly in capital markets. Of the total increase in risk weighted assets this quarter, over half was due to FX and the balance was volume growth. Through our hedging program we offset approximately three quarters of the impact of FX on our capital ratio. I would note that this quarter our capital ratio was also impacted by a lower discount rate which increased our pension obligations. Looking forward, we continue to target a CET1 ratio of 9.5%, with a buffer of 20 to 30 basis points. We expect that through internal capital generation, our CET1 ratio will increase in the coming quarters as we work towards closing the previously announced acquisition of City National, which is targeted for the fourth calendar quarter of 2015. During this time, we expect to maintain our ongoing capital management program which includes spending on organic growth and returning capital to shareholders through dividends and also share buybacks at a margin. Overall, we’re comfortable with our capital position and our solid financial performance supports our announced dividend increase. I would also point out that this quarter we began disclosing our Basel III leverage ratio which was 3.8% above the Basel III minimum of 3%. Let me now turn to the quarterly performance of our business segments starting on slide nine. Personal and commercial banking reported record earnings of over $1.2 billion, up $184 million, or 17% from last year on a reported basis. Excluding last year’s losses and provisions in Caribbean Banking, net income was up $92 million or 8%. On a sequential basis, earnings were up $104 million or 9%. Canadian Banking reported record earnings of over $1.2 billion, up $83 million or 7%, from last year. Our performance reflects strong growth in fee-based revenue of 13%, mainly from higher mutual fund distribution and credit card fees, as well as solid volume growth of 5%. Sequentially, Canadian Banking earnings were up $10 million or 1%. I would remind you that our results last quarter included favorable net cumulative accounting adjustments of $40 million after tax. This quarter, our net interest margin was 2.68%, up 2 basis points sequentially. Excluding certain accounting adjustments last quarter which lowered our which lowered our margins by three basis points, our net interest margin was down one basis point sequentially as a result of ongoing competitive pressures. Turning to expenses, this quarter Canadian Banking expense growth was in line with revenue growth. Expenses increased from last year due to higher staff costs, which included higher share-based compensation reflecting the annual accrual for employees eligible to retire. We also continued to invest in infrastructure and marketing strategies to grow our business. Going forward, we continue to target operating leverage for Canadian Banking in the 1% to 2% range and we believe our operating leverage should continue to improve throughout the year. Turning to Caribbean Banking and US Banking, our results reflect a strong quarter of positive earnings in the Caribbean, where we spent a lot of work to restructure our operations, including taking costs out and improving our pricing model. Turning to slide 10, Wealth Management had earnings of $213 million, down $5 million, or 2% from last quarter and down $55 million or 19% from last year. We had an after-tax restructuring cost of $27 million related to the repositioning of our US and international Wealth Management businesses, which we believe we are now halfway through. We also had PCL of $13 million on a couple of international accounts. Excluding the restructuring charges, earnings in Wealth Management were up $22 million or 9% over last year, and reflects solid growth in our global asset management and Canadian wealth management businesses. Assets under management and assets under administration were up 17% and 14%, respectively, over the last year, due to FX, capital appreciation and net sales. This growth was partially offset by lower transactions revenue, reflecting lower client activity and few new issuances due to the volatile market conditions this quarter. Wealth Management expenses were elevated this quarter largely reflecting the restructuring costs I just mentioned as well as foreign exchange translations. Expenses also reflect higher staff cost mainly in global asset management where we’re continuing to invest for the long term as this business is a key growth platform for RBC. Moving to Insurance on slide 11, net income of $185 million was up $28 million or 18% from last year, largely due to higher earnings from two new UK annuity contracts, improved claims and policy experience as well as net investment gains. Sequentially, net income was down $71 million or 28% as last quarter we benefited from both favorable actuarial adjustments reflecting management actions and assumption changes as well as a cumulative adjustment related to outstanding retrocession claims. I would also note that our insurance results now include the negative impact of a change in Canadian tax legislation which began impacting our foreign affiliates in November 2014. The tax law change will continue to impact the insurance segment’s tax rate going forward. Investor & Treasury Services had a record quarter with earnings of $142 million, up $36 million, or 34% from last year and up $29 million or 26% sequentially. This quarter we benefited from exceptionally high levels of client activity in the foreign exchange forwards market and higher foreign exchange transaction volume. This was largely driven by favorable market conditions including increased market volatility which we don’t believe will continue to the same degree going forward. Turning to capital markets, we had a strong quarter. Net income of $594 million was up $89 million, or 18% over last year. And as I mentioned, earnings in capital markets benefited from foreign exchange translation. FX and market volatility were also large components of business growth, particularly in our secured spending business where activity was very strong this quarter. Our equity and fixed income results improved, reflecting higher client activity from favorable trading conditions, including increased market volatility. I’d like to highlight that our European fixed-income results have improved substantially as we’ve refocused the business. We also had higher M&A activity in Canada and the US and solid growth in our US and European investment banking and lending activity. Compared to last quarter, net income was up one $192 million or 48%, driven by revenue growth across most of our businesses which was offset in part by higher variable compensation. I would remind you that last quarter’s earnings were unfavorably impacted by spending valuation adjustments and our exit of certain proprietary trading strategies which together totaled nearly $100 million. Overall, it was very strong first quarter for capital markets. Our pipelines look strong and heading into the second quarter, we feel good about how our businesses are performing. With that, I’ll turn the call over to Mark.
Mark Hughes: Thank you, Janice, and good morning. Turning to slide 15, our credit quality remains strong and in fact improved from last quarter. Provisions for credit losses on impaired loans this quarter were $270 million or 24 basis points, down $75 million or 7 basis points from last quarter, mainly reflecting lower provisions in Caribbean Banking and capital markets. Caribbean and US Banking PCL was $18 million, down $60 million sequentially as last quarter included increased provisions on our impaired residential mortgage portfolio in the Caribbean. This quarter, as Janice mentioned, Wealth Management had provisions of $13 million related to a couple of international accounts. With respect to capital markets, this quarter we had provisions of $5 million, largely related to a single account in the utilities sector. Let’s turn to slide 16, which focuses on our Canadian Banking retail portfolio. Provisions in Canadian Banking were $234 million or 26 basis points, down $2 million or one basis point from last quarter. Our credit card provisions remained near historic lows at 245 basis points, up 14 basis points sequentially due to seasonality. Provisions in our small business portfolio decreased 15 basis points from last quarter and our residential mortgage portfolio which is well diversified across Canada, as highlighted on slide 17, makes up 65% of our retail portfolio, continues to perform well with provisions this quarter of 2 basis points, consistent with our historical performance. Given the decline in oil prices, I’ll make a few comments about our exposure to this sector and how we’re managing our portfolio. As you can see on slide 19, we’ve enhanced our disclosure this quarter to provide more transparency on our wholesale oil and gas exposure which was previously reported as part of the energy sector along with utilities. Our drawn loan book exposure to the oil and gas sector represents around 1.5% of RBC’s total loan book. Over 60% of our loan book is to exploration and production companies, while around 20% is to drilling and services companies with the remaining balance to integrated companies, refiners and distributors. We have not yet seen any stress in our portfolio. As expected, we are seeing some clients drawing on their lines given the environment. We have identified names that could be under pressure if oil prices remain at current levels for a further sustained period and we’re closely monitoring those companies for any early warning signs. We’re also monitoring retail portfolios and this allows us to proactively reach out to clients and engage into discussion if we see early signs of financial stress. Beyond active monitoring, we have stress tested both our wholesale and retail portfolios given the $45 oil price for a sustained period of time, a significant increase in Canadian unemployment and interest rates, and a national downturn in the real estate market as well as a recession in Alberta. Under this very extreme scenario, we have determined that the potential losses would still be manageable and within our risk appetite. Turning to slide 20, gross impaired loans and new impaired loan formations increased this quarter, largely due to the two international wealth management accounts I mentioned earlier as well as foreign exchange. Turning to slide 21, in the first quarter, average market risk, value-at-risk, increased $7 million to $33 million due to the implementation of funding valuation adjustments or FVA at the end of the prior quarter and the impact of the depreciating Canadian dollar. Our first quarter average market risk stressed VaR was $107 million, up $29 million from the prior quarter, largely due to the implementation of FVA. While stressed VaR was elevated in the first quarter compared to recent historical levels, it has since returned to a more normalized level. We had three days of trading losses in the quarter, with none of the losses exceeding VaR. Overall, I’m pleased with our credit performance this quarter and am comfortable with how we’re managing our businesses from a risk perspective given the macroeconomic headwind. With that, operator, we’re ready for Q&A.
Operator: [Operator Instructions] Our first question is from John Aiken from Barclays.
John Aiken: Mark, quick question for you, well, actually first off, thank you very much for the expanded disclosure on oil and gas, but of course it leads to other questions. Can you let us know what the undrawn commitments were as of the end of Q4 for oil and gas?
Mark Hughes: Yes, if there are about $12 billion for oil and gas, plus an incremental of about $1.5 billion for trading lines.
John Aiken: And then in terms of wealth management, we talked about the expenses and growing the business, drawing impeding some of the profitability, but we have seen revenues lagging the AUM and AUA growth, can you give us some sense about, look for the remainder of the year, what we should be seeing on revenues and whether or not we can expect to see heightened expenses coming through on these lines as you do try to grow the business?
George Lewis: I’ll take it, it’s George Lewis. A couple of points. I think first of all in terms of our quarterly results, as Dave and Janice mentioned, we did have very solid underlying growth, in particularly in our global asset management business where we are seeing year over year increases in earnings, in line with our AUM growth of 17% in that business. So that’s not only a future growth business for us, but a very solid contributor to this segment. Secondly, we did have elevated expenses, I would say that overall from a wealth management segment point of view, we had strong client asset growth, but we were disappointed that we were not able to deliver more of that to the bottom line and that had two components to it. One was the restructuring charge for our US & International wealth business and I would say, you recall that that program will take some time we incurred to charge in Q4, I’d say we’re about 50% of the way through that program, we expect it to be largely complete in 2015. But even excluding that the restructuring charge, we only generated modest positive operating leverage this quarter. So we’re very focused on aligning our expense structure, particularly as we narrow our international footprint to bring that rate of expense growth down and to generate higher operating leverage for our core earnings going forward.
John Aiken: And in terms of the restructuring that you’re doing on the international side, what can we expect in terms of the headwind to AUA coming out of that?
George Lewis: John, I think that will be a matter that you’re already seeing a bit of an impact from that this quarter as we exit some locations. I think the important thing to note there is that I would say the revenue per AUA that we’re exiting would be below our segment average. So this is a good move on our part, it’s reducing our risk profile, it’s reducing our cost structure and when we get through this program, we will actually have a much stronger segment with positive operating leverage and you’ll see actually more of the earnings power of our large high performing businesses coming through in the overall segment.
Operator: The following question is from Robert Sedran from CIBC.
Robert Sedran: I just want to ask about the Canadian margin, Dave, I think you touched on it a little bit, but specifically the partial cut in prime that followed the Bank of Canada move earlier this year, everyone else can say they followed you, I guess, but you guys went first. So why was 15 basis points the right number and should we assume that if the Bank moves again, there will be a similar partial response on prime?
Dave McKay: We took a number of factors into consideration obviously when we moved prime down, our rate down by 15 basis points a few months ago, we looked at our funding costs, we looked at the environment, we looked at the structure of our business and that was the appropriate decision at that time and we take the same variables into consideration for any future prime decrease. The probability of that decrease seems to be less than there was maybe a week ago or a month ago as you read the current economic environment and some of the signaling that is coming from the Bank of Canada, but the same variables will go into that and funding costs is a big part of that in understanding how the market is reacting and how we fund our lending positions. We looked at it all. So it’s hard for me to predict how we’ll react, obviously. And as far as understanding our margins, the number of variables go into our margins including the shape of the yield curve and beyond the Bank of Canada rate cuts. So if you take all that into consideration, I think our overall view is that with the competitive environment, the shape of the yield curve, the greater shorter term pressure on rates, that will continue to see a very slow margin declines overtime that you see one to two basis points here and there. So nothing drastic, but that continues to be our call.
Robert Sedran: But that probably would have been your outlook even before the move, so I guess it’s fair to say that the partial cut in prime was able to offset some of the other pressure that might have come as you moved prime in line with Bank of Canada?
Dave McKay: Looking at our historic margins in our variable rate mortgage book and if you’re looking at our funding costs, and all those go into it and we’re able to manage it somewhat, not offset completely the impact, but certainly manage it, if it does stimulate demand, you have increased volumes in demand to offset that from a revenue perspective. We are very happy with our volume growth and our revenue growth and our margins in a difficult operating environment around competition and lower rates. So I think it’s good performance by the business.
Operator: The following question is from Gabriel Dechaine from Canaccord Genuity.
Gabriel Dechaine: Firstly on the capital situation, so the big effect, it was more than I expected it to be this quarter. Are you still on track to be around 10% core tier 1 ratio post the City National acquisition? And if you can, what’s the kind of wiggle room around that figure you think you have?
Janice Fukakusa: Good question and we’re managing our CET1 ratio at 9.5% plus range of 20 to 30 basis points, a buffer above the 9.5%. So we had very large FX movements and when we look to the balance of the year, we are managing it in accordance with what City National will do to our ratio, so we expect to be back at the 9.8%, 9.9% rate range and then up to little bit higher leading up to the acquisition and all of that has to do with pretty solid earnings accretion. If we look at what we will be doing and so we’re right now on plan to fund City National as we spoke about when we announced the transaction.
Gabriel Dechaine: So is there organic capital generation, what numbers should I use, 20%, 25%, 40% this quarter, that seems a little bit high?
Janice Fukakusa: I think that if you look at our medium-term objectives, what we are saying is that we see the trajectories in line with our medium-term objectives in terms of our earnings growth. We are also looking more actively at hedging some of the potential downside on the US dollar strengthening. So with those two activities, you’ll see a pretty strong organic capital built through to the – leading up to the City National acquisition.
Gabriel Dechaine: But the likelihood of you having the top-up, strictly to that 10% to top-up your capital ratios, in another manner like an equity raise of very low probability, I imagine?
Janice Fukakusa: At this point, I think it is low probability given our trajectory.
Gabriel Dechaine: And just a quick one on the tax rate, so we’re at 24% effective tax rate because of that [indiscernible] stuff I guess, is that the run rate we should be using from now on, insurance business tax rate increases higher now?
Janice Fukakusa: I think that it’s not a real driver in our overall tax rate at the margin it would be, maybe, a couple of basis points. I think we should still look at a rate in the 23% to 24% to 25% range. The more important driver for us is earnings mix than as you know that we are earning on a geographic basis a higher rate of growth of earnings in the US versus in other jurisdictions and that’s more of a driver of our combined rate.
Operator: The following question is from Peter Routledge from National Bank Financial.
Peter Routledge: Just want to ask about your, Mark, just get your thoughts on unsecured households credit in Canada generally and then how you think Royal is positioned. I guess, the main question is Royal’s relative or proportionate exposure to unsecured household credit is a bit higher than peers, and why shouldn’t we be worried about that?
Mark Hughes: Obviously, with the economic conditions, macro conditions, it is obviously something we focus on a lot. The headline household debt number is 163%, 164% across the country is one that gets a lot of attention. We do have a lot of focus on that, we try to consider more around the debt service of our clients as opposed to the household debt and that service ratios continue to be very low. We do have a fair amount of our portfolio is on a fixed rate as well. And yes, we do have lower insured numbers than some of our competitors, although our LTVs continue to be in a very good range. So when you add all of the metrics together, LTVs, debt service ratios, fixed rate, we remain extremely comfortable with our portfolio.
Peter Routledge: Just in terms of unsecured, is the underlying credit quality of Royal’s customers higher or better than your peers do you think, is that why we shouldn’t really be worried about unsecured debt?
Mark Hughes: I wouldn’t necessarily comment on our competitors, but certainly our FICO scores, our credit scores are very strong, well over 700 FICO score. So we do have good customers, certainly.
Dave McKay: Peter, what I would add is if you look at the last recession that we went through in 2008 and 2009, our unsecured book performed, it’s performed very consistently over the last two or three recessions. The unsecured book we’re referring to is roughly half credit cards, half revolving credit lines that are unsecured, 50/50. They’ve performed very consistently with around 50% volatility factor to 60% volatility factor through a cycle. So I think that points to a consistent credit profile, the fact that we lend through a cycle on that portfolio and we certainly stress and think through that full cycle when we make an origination decision. So it’s the predictability and stability of that performance. And the other, when you look at the margins we ended on unsecured credit, they are some of the healthiest margins we have, particularly on the credit card side obviously. So when you factor in margins, expected loss, volatility, this is good business for us and one that we monitor through a number of cycles.
Peter Routledge: In terms of mitigating deterioration, I mean, one behavior probably will occur, people will start to draw on their unsecured lines as they get worried about the future.
Dave McKay: Certainly if you looked at the last recession, the first portfolio that showed signs of stress was actually the auto secured portfolio, then the credit card portfolio, the auto secured could show stress in a three to six month timeframe, the card book could start to show stress in a six to 12, and actually the mortgage book was more in the 12 to 24 month lag stress to economic deterioration. So you are right, but not necessarily the unsecured that always goes first, some of the secured higher risk portfolios go first. So I think there is a mix there that we watch very carefully. And as we talked about a number of times, we’ve got proprietary lending systems that allowed us perform the way we did through the last cycle. And we continue to use very advanced monitoring capability around with our customers to watch for signs of stress and deterioration and act proactively to manage that account.
Peter Routledge: You will have the knowledge and flexibility to cut lines that you might get worried about based on behavior?
Dave McKay: We do.
Operator: The following question is from Doug Young from Desjardins Capital Markets.
Doug Young: Just I guess the one area that’s small, but I wanted to get a little more detail was on the PCL and Wealth, I guess I was surprised by that and it sounds like there is two accounts, but there is a sizeable increase in impaired loan formations related to those two accounts. So I’m just wondering can you give a little more detail and how should we be thinking as more noise to come from this through 2015?
Mark Hughes: Certainly Wealth Management does have a loan book, a credit book, it is a secured loan book, but as with any credit decisions that you make, there will be times when there will be PCL individual customers will have unfortunate situations. I think within Wealth Management, it is very much more on an individual very selective type of basis that we would expect to see it, but you cannot rule it out once you have credit decisions.
Doug Young: What type of accounts are these, can you give a little more detail on that?
George Lewis: I would also note as we did in Mark’s remarks, these relate to our US and International business, there are two clients and I’d say that’s somewhat related to our restructuring efforts as we exit certain businesses in that area. So I agree with Mark, we extend loans, we are quite comfortable with our overall credit strategies within the Wealth business, we do see PCL from time to time. This would be at a level that’s somewhat elevated compared to our average, but consistent with our risk appetite.
Doug Young: And so it doesn’t sound like you’re concerned that you’re going to see much noise, is that the proper way to think of it?
George Lewis: Certainly I don’t expect to see much noise, but I think it would be wrong for me to suggest we will never see any more ongoing PCL. There will be, when you have credit decisions, every now and then it will go up and down, but we believe this is a secured lending business and it would be on a very selective basis.
Doug Young: And then just a follow-up, the Canadian operating leverage was I guess zero, it sounds like from your comments, as Mark said, you’re comfortable you can get some operating leverage through the remainder of this year. Can you talk a bit about what you expect from an operating leverage through this year and what levers do you think you can pull on the expense side if there are levers, can you talk a bit about that?
Jennifer Tory: We remain committed to managing the trajectory of our expense growth against revenue growth as we did this quarter, we continue to target operating leverage in the 1% to 2% range and continuing to drive our efficiency ratio lower as well. As Janice said, our outlook is that our operating leverage should continue to improve throughout the year. We have a number of levers that we employ including carefully managing attrition, combining growth, focusing as Dave mentioned on digitizing our processes and improving overall operational effectiveness. An example is we’ve grown our business by over 40% since 2009, but our headcount is down over the same period, and in fact, over the past 12 months our headcount is down over 600. So we’re quite comfortable that we have the levers that we can pull, but we’re continuing to look for other opportunities to make sure that we adjust as margins continue to be under pressure.
Operator: The following question is from Steve Theriault from Bank of America Merrill Lynch.
Steve Theriault: First just a quick follow-up to Doug’s question, so the two clients, are they in the same geography and I ask because last time we saw any credit issues in the division, I think it was a stop loss or an absence of stop loss issue in Asia, is it something similar or as you suggested it has to do more with exiting certain areas?
Mark Hughes: They are not in Asia, they’re both related to the Caribbean business as we are exiting down there.
Steve Theriault: And then for Janice, I just want to ask on the hedging side, the $41 million that you mentioned in your roadmap as the year-on-year lift from FX, just want to confirm that after hedging and wondering if the Canadian dollar remains unchanged, if that impact increases next quarter? So I guess just want to be clear on whether the hedging comes into the P&L all at once or more slowly and if you could elaborate if you’re suggesting that you might undertake some hedging to protect versus the downside, what is the implication there?
Janice Fukakusa: Steve, all of the hedging comes in through other comprehensive income, so it doesn’t hit the P&L. We actually hedged some of our US dollar investments, so that they are our investments in subsidiaries. So that would be all coming in through foreign currency translations, so the actual underlying would convert and the mark to market on the hedge also goes through other comprehensive income. So that’s where all the activity is. If you look at the roadmap and you see the impact on capital and basis points, that’s why we’re sizing it that way, because it is not – none of our hedging is going through income.
Steve Theriault: But in the roadmap, did you not point $41 million that does drop to the bottom line from the...
Janice Fukakusa: I’m sorry, you were talking about the $41 million in earnings, that’s strictly foreign currency translation on earnings.
Steve Theriault: So there is no hedging offset to that number, so that won’t necessarily rise next quarter, there’s no sort of smoothing on that number?
Janice Fukakusa: Right, we do not hedge our future earnings. So that’s strictly translation as we earn it and translate it to Canadian dollars. We only hedge our equity.
Steve Theriault: And just, your 23% to 25% tax rate that you mentioned, is it fair that that’s a couple of hundred basis points higher at either end on a TEB basis or were you speaking to the TEB basis?
Janice Fukakusa: That would be as reported, so it’s on a TEB basis, because it’s at the enterprise level. So with TEB, it’s in the capital markets segment, but then it comes out in corporate support. So I’m talking about the enterprise effective tax rate.
Operator: The following question is from Meny Grauman from Cormark Securities.
Meny Grauman: A question about the Caribbean, saw an improvement there and I’m wondering how much of it is related to changes on the ground, so actual, are you seeing the actual economies improve or stabilize or is it really just a function of your company specific initiatives coming to fruition?
Jennifer Tory: I would say we’re very pleased with the results this quarter. I’d say there is still a challenging economic environment, but we are hoping that with the improvement in the US economy they will benefit from an increase in tourism. Our results clearly are demonstrating that our focus on strengthening our overall business performance over the past several years through quality asset growth, pricing strategies and obviously dramatic efficiency management initiatives have really translated into our improved performance.
Meny Grauman: And then just another question going to the capital markets business, noticing the growth in US revenue been much stronger than Canada, and I’m wondering as you look out into the future, into the rest of 2015, how do you contrast the different growth expectations in capital markets specifically between Canada and the United States?
Dave McKay: The Canadian business is actually holding up pretty well. We recently led a large deal for Synovis and I think there will be probably reasonable activity in Alberta, which has a big impact on the Canadian investment banking business. Loan book in Canada has been growing at a much slower rate than in the US, because it was largely built out several years ago. I think that you will continue to see more growth in revenue and earnings certainly through this year and in the foreseeable future because we are continuing to acquire new clients and get better leverage with clients we recently acquired. I mean, we have significantly more revenue in the US than we do in Canada now and we have a loan book that’s 50% bigger in the US than in Canada. So this is I would expect we are going to see continued growth in the US and probably at a greater pace than Canada.
Operator: The following question is from Sohrab Movahedi from BMO Capital Markets.
Sohrab Movahedi: Just a couple of questions. Mark, when you do the stress testing on the portfolio, what sort of unemployment rate do you assume in Canada?
Mark Hughes: When we do stress testing, of course we do multiple stress tests. It’s not individual, it’s not just one stress test. And so some of our stress tests have unemployment actually staying where it is, others do have it going up. One that comes to mind has it going up by close to 2%, another one has it going up by close to 3%, and another has it staying flat. So our job is to do multiple stress trying to understand how the combination of various economic effects would have on our portfolio.
Sohrab Movahedi: And when you think about your internal risk ratings of corporate borrowers in particular, are you seeing any negative migration?
Mark Hughes: At this point in time, no, we are not. As I think I might have reported on the previous call, we have done stress test and we have put some onto our watch list. But in terms of actual risk ratings, we have not seen that impact. So we are really I think being at this point cautious. Needless to say, there are companies that we’re working with because we foresee the next coming months could be a challenge for them if oil prices don’t go up. But at this point, the portfolio is very stable.
Sohrab Movahedi: So the watch list is stable?
Mark Hughes: We have not added anything since we did the last stress test.
Sohrab Movahedi: And maybe just quickly for Janice, Janice how much – I know you said about 50% of the balance sheet is the US dollars, that has been some increases in the asset levels, the one that kind of stood out was the derivatives balance, quite a bit higher. Any color around that?
Janice Fukakusa: So you’ll notice that both the DRA and DRE blew out and half of that is related to FX and the other half would the market volatility, so spreads widening on the same contracts. So it’s both of those aspects, both market driven.
Operator: The following question is from Mario Mendonca from TD Securities.
Mario Mendonca: A question for Mark Hughes, you used the adjective manageable and you described that the losses based on your stress tests are within the risk appetite, but those adjectives aren’t as meaningful as they need to be for the purposes of our analysis. So can you help me think through what does manageable mean, I suspect it means that Royal’s capital certainly doesn’t become impaired, that would be an obvious statement, correct?
Mark Hughes: Yes.
Mario Mendonca: Does the Bank stay profitable?
Mark Hughes: Yes.
Mario Mendonca: So what does manageable mean that just 20% to 30% decline in earnings or maybe – or does it mean that the Bank’s earnings growth just becomes very modest?
Mark Hughes: The way I think of it anyway which is why I put manageable and risk appetite in the same sentence is as we previously said, our over the cycle risk appetite for PCL would be 40 to 50 basis points, currently we are at 24 basis points. So in any of the stress scenarios, we would stay within that outlook.
Mario Mendonca: So the unemployment scenarios you gave us, the zero to 300 basis points and you stay within that 40 to 50 basis points. And then on real estate, you also said that your stress test includes something to do with real estate. What are we referring to there, a 20% decline in home values, is that a reasonable thing to put into this stress test?
Mark Hughes: We have some at 10, we have some at 20, we have some at 25.
Mario Mendonca: If you could move on to capital markets then, the equity trading numbers were very strong and certainly I know this isn’t the cash equity, so what – and we saw this would be more as well, what’s going on in the equity trading, presumably it’s derivatives, so could you add some color there?
Doug McGregor: The equity numbers benefitted from a number of things. First, there is some FX, because we’re bigger in the US than we are in Canada. The second thing is, you’re correct, that the equity volatility trading and trading around convertibles, and call spread trading was profitable as well. And as the business we’ve just gotten better at and more active in as we lead more convertible transactions in the US, but I would say overall as well just the cash, that has cash equities in it and the cash equities business has been good with the volatility both here and in the US and we’re growing our business in Europe. So it’s a combination of all of those things.
Mario Mendonca: While I have got you, there have been periods in the past when interest rate volatility, like the interest rate volatility we saw this quarter, caused client activity that really just go away and caused Royal to report weak trading quarters. What was different about this quarter that would have led to more client activity from all these interest rate volatility?
Doug McGregor: I think the period that you’re referring to most recently in the credit spread below, drop in rates in the last quarter of last year. I think this quarter, the moves weren’t as violent, frankly, and they were persistent. And it really, as the quarter migrated, we saw tightening of credit and just improvement in trading conditions. So I don’t know that I can put it in any other way.
Operator: The following question is from Sumit Malhotra from Scotia Capital.
Sumit Malhotra: My first question is for Jennifer and it relates to fee income in Canadian Banking, even if I adjust for the, I’ll term it the back and forth that you had between the net interest income and fee income line in Q4, it still seem like you had a decent sequential increase in the fee income line, which obviously helped the result this quarter. There was a mention in the report to shareholders about mutual fund distribution fees and then specifically card revenues, we’ve heard some different comments on that line thus far this quarter, I was just hoping you could give me some more color on what drove a relatively strong card service revenue trend for you in Q1?
Jennifer Tory: I think we are continuing to have strong performance in our card business, strong client activity and strong new card acquisition and the strong fee based revenue does continue to come from our credit card business and the client activity as well as continued strong performance in our mutual fund business. So it is still both two that are the major contributors to the performance and frankly our cross sell that we’re continuing to drive through those products and services to continue to drive our fee based income.
Sumit Malhotra: And Jennifer if I stay with you or maybe to tag in Dave here, Dave you certainly have been vocal about some of the offsets that the Bank has available to it in advance of the interchange implementation or fee reduction implementation that’s due to come in in April, can you talk to us about whether some of those offsets have already been put in place or is that something that you’re holding off on until we get closer to that time?
Jennifer Tory: We have a playbook that we put together at various options that we can employ and at this point we’re still looking at which ones, if any, we want to move forward with. The changes don’t take place until later in April. And so at that time, we’ll look at the situation around interchange revenue and make our decision.
Dave McKay: So the strong results you are seeing in cards don’t reflect changes that we’ve made to offset the potential impact from reduced interchange.
Sumit Malhotra: So I shouldn’t necessarily look at the aggregate revenue growth in this segment this quarter and say there is definitely a decline because of interchange since there maybe offsets so you can bring forth?
Jennifer Tory: I think what we’re saying is there is nothing we’ve employed at this point that has driven that improved revenue growth.
Dave McKay: Some of our competitors have really moved interest rates and pricing...
Jennifer Tory: But we’ve not moved on any front at this stage.
Sumit Malhotra: And then one very quick one for Janice, hopefully a quick one, a numbers question, in regards to City National, I know I have my estimate that you can probably back into some of the statements you’ve given, but have you provided and I don’t think you have, have you provided a pro forma estimate of what the acquisition’s impact is on CET1 and just to get the ball rolling if I say in the ballpark of 90 basis points, is that a reasonable estimate?
Janice Fukakusa: We haven’t provided a pro forma estimate, but when you look at the purchase price, I think a good way to look at it is half of the prices paid with shares and that will underpin our investments and goodwill. And then we bring their balance sheet on, if you look at their balance sheet, I think it’s about $2 billion to $3 billion of our – just a rough estimate. So that’s what we’re building towards in terms of the internal capital generation to be able to accommodate that.
Operator: The following question is from Gabriel Dechaine from Canaccord Genuity.
Gabriel Dechaine: Just had a quick follow-up on the trading [indiscernible] but were there – in the past you flagged some outside trades that benefitted your trading results in any given quarter, were there any of those this time around or is that just simply volume?
Dave McKay: I would say there’s no trades like the one we flagged previously. As I said earlier, we did have some good results trading some convertible call spreads, but I’m reluctant to tell you it won’t persist. So given the volatility in the markets around equities, that part of the business is just performing quite well.
Gabriel Dechaine: There is one of your big US peers that made some positive comments on February, is that consistent with what you’re seeing there?
Dave McKay: The business continues to be good.
Operator: Thank you. That is all the time we have for questions today. I would like to return the meeting to Mr. McKay.
Dave McKay: Thank you. Before we end the call, I’d like to reiterate how pleased we are with our record first quarter results. While the industry faces some headwinds, as I noted in my earlier remarks, there are a number of reasons why I’m confident that RBC franchise is strong and well positioned to manage through this environment and continue delivering long-term value to our shareholders. Thank you everyone for joining us and have a nice day.
Operator: Thank you. That concludes today's conference call. Please disconnect your lines at this time and we thank you for your participation.